Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Sprott Incorporated 2019 Annual Results Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. [Operator Instructions] As a reminder, this conference is being recorded today, February 28, 2020. On behalf of the speakers that follow, listeners are cautioned that today's presentation and the responses to questions may contain forward-looking statements within the meaning of the safe harbor provisions of the Canadian Provincial Securities Law. Forward-looking statements involve risks and uncertainties, and undue reliance should not be placed on such statements. Certain material factors or assumptions are implied in making forward-looking statements, and actual results may differ materially from those expressed or implied in such statements.  For additional information about factors that may cause actual results to differ materially from expectations and about material factors or assumptions implied in making forward-looking statements, please consult the MD&A for the quarter and Sprott's other filings with the Canadian Securities Regulators. I will now turn the conference over to Peter Grosskopf. Please go ahead Mr. Grosskopf.
Peter Grosskopf: Good morning everyone, and thanks for joining us today. On the call with me today is our Whitney George; President of Sprott's, our Chief Financial Officer; Kevin Hibbert, and John Ciampaglia; the CEO of Sprott Asset Management. Our 2019 annual results were released this morning and are available on our website where you can also find the financial statements and MD&A. I'll begin just by saying, Wow, we've been expecting this for some time but it's not easy to watch. In recent days fear of the impacts of the coronavirus has taken a huge toll on financial markets and at least initially helped to push gold prices above the $1,650 level.  This has already been handicapped by markets to require more monetary and fiscal accommodation. In the long term, we believe if further underpins the thesis for precious metals and this event could prove to be the straw broke the camel's back and eventually shakes investors confidence in Central Banks and Fed currencies. We do expect silver and gold continue to outperform in this environment on a long term basis.  In 2019 gold and silver fork finally broke out or their multi-year ranges as the U.S Fed abandoned its quantitative tightening program, and in fact again, aggressively to increase its balance sheet during Q4, easing by all central banks contributed the stronger precious metal prices over the year, which drove good performance in our funds and a meaningful increase in our assets under management during the year. All of our core business lines are now in growth mode and in our managed equities business, we recently added significant scale with the acquisition of the Tocqueville gold strategies. This transaction added 2.3 billion to our total assets under management, which now stand at 15.4 billion as of yesterday's close. This is a new high watermark for Sprott and we believe there is more growth to come. A new cycle for precious metals is underway and we're well positioned to benefit with the global platform, strong brand recognition and a large experienced investment and technical team.  As our business has continued to evolve Sprott now generates the vast majority of its revenues in U.S dollars, to reflect this change beginning in Q1 2020. Our reporting currency will switch to U.S dollars. U.S dollar reporting also reflects the move towards the majority of our shareholders, our fund holders, and our other clients whom are based in the United States and very oriented towards a U.S dollar gold price.  With that, I'll pass it over to Kevin for review of our financial results before discussing each of our core segments in more detail.
Kevin Hibbert: Thanks Peter, and good morning everyone. Slide 5 provides a summary of our AUM, including a recent estimate of AUM as that yesterday's close inclusive of the Tocqueville gold strategies acquisition that closed last month and recent net asset values across all our various fund products. A recently strong performance in precious metals coupled with good fund flows in our exchange list of products, lending funds and managed equities funds have helped Sprott to achieve an AUM balance of $12.1 billion as at December 31, 2019 and a historic high in AUM of $15.4 billion for our company as at February 27, 2020.  Moving now to Slide 6 for a look at our 2019 earnings. Our full year 2019 adjusted base EBITDA was $38.5 million down $2 million or 5% from 2018. We experienced the benefits of a strong precious metals pricing environment in the second half of the year through higher market value appreciation in our exchange listed products AUM and increased equity origination activity in our brokerage segment.  Although these recent market conditions helped our in quarter results, it was not enough to offset the significantly weak operating environment we encountered in the first half of 2019, which was driven primarily by our 2018 redemption experience in exchange listed products that continued through the first half of 2019 and lower average AUM valuations in our managed equities segment over that same time period.  We also encountered legacy loans being repaid in full by the end of the third quarter in our lending segment, resulting in lower full year finance income offsetting increases we saw in management fees from our lending segment. We ended 2019 in the early stages of a highly constructive operating environment for precious metals investors and we are very much looking forward to the 2020 reporting season.  To Peter's point, noteworthy for the upcoming 2020 reporting season is Sprott's transitioned to U.S dollar reporting that will be effective Q1 of this year. With the successful close of the Tocqueville gold strategies acquisition a significant proportion of our subsidiaries have the U.S market as their primary economic environment. And we believe that the U.S dollar better reflects our financial position, results of operations and will ensure we remain in compliance with international accounting standards 21 as we expand the scope of our operations in the U.S. For more information on our revenues, expenses, and EBITDA, you can refer to the supplemental information section of this presentation as well as our 2019 Q4 MD&A filed earlier this morning.  That said, I will turn things over to John. John?
John Ciampaglia: Great, thanks Kevin. And good morning everybody. Just want to talk a little bit about what we're seeing in our physical bullion trust products. I think it's safe to say that gold breaking through $1,360 a few months back was really a key moment for the gold market. It had unsuccessfully tried to breach that number many times and now even though we've had a little bit of a correction this week, gold at $1,600 is very, very healthy for our business. What's been really supportive of our business is that gold has been hitting these levels despite equity markets in both Canada and U.S recently hitting all time high.  So we've seen a very different psychology in the market prior to the last few days and we see a very strong renewed interest in precious metals particularly gold as people are looking for safe Haven assets. We have very good market appreciation last year in the core business, but we also had two other drivers helping us, which was we had to return to a new flows through our aftermarket program. We also had very sharp decline in redemptions.  I think more interestingly, if you look at the year to date period our year to date new unit creation, the trucks are almost at the entire level of 2019. Just a good indicator of the renewed interest. Earlier this week for example, we experienced our single largest sales day through our ATM offering, so we've had very good results there, and most of those flows are going on the gold side.  We also added a second partner to our ATM program, which is Vertu markets. They are the largest market maker in the U.S and we expect them to be a very additive partner, as we build out our trust business going forward. The book of business is around 9.5 billion so the funds have very good scale and very good profitability and what we are seeing is more and more institutional money looking at precious metals into their funds we're seeing a lot more block trading, very large blocks as investors are repositioning their portfolios and more defensive manner.  And I will now pass it over to Whitney. 
Whitney George: Thank you, John. Good morning everybody. I was just going to touch on our progress with the integration of our Tocqueville gold strategies acquisition, which we completed a little over a month ago. John Hathaway and his partner, Doug Groh, and their team are, are now working very closely on a daily basis with Jason, Maria and Shree our team in Toronto, we have added support throughout the firm with other geologists, specialists, Neil Adshead in Vancouver who focuses on very junior companies. And recently Paul Wong rejoined the firm as our strategist, um, and his work can be found on our web page. And the typical early redemption activity that goes along with the transition of a fund that seems to be is sort of leveling out we now have signed new agreements with 70 dealers and we have begun to experience gross sales, which was not possible until all of those agreements were in place.  The equity business in the precious metal space has been under redemption pressure across the industry not just with John and his partners, but all of our competitors that continues despite the rising gold price essentially the gold price rise last year and earlier this year was more reflective of defensive positioning, not a desire for more equity exposure of any sort, but certainly sets up,  the, a very positive picture looking forward, as these gold mining companies enjoy a higher metal price and the operating leverage that comes with it.  We would expect, and I've already seen the group, the sector surprising earnings -- delivering surprising earnings on the upside, raising guidance and these are factors that many strategies particularly algorithmically-driven strategies are seeking. So it's going to be very hard to find earnings surprise momentum or growth in most parts of the equity markets we think we're in pretty good shape there in precious metals.  We think the rotation into equities will come this year for the reasons that I mentioned obviously now we're in a fairly short corrective mode across all equities but I will remind people not too long ago maybe for some people that you financial crisis. Gold was -- suffered as well as everything else because it is an insurance policy and every once in a while people must make a claim. I think we're seeing a little bit of that right now, but gold did start to recover way before everything else in November of 2008 and the equities were quick to follow very early in 2009 were among the first positive acting groups of stocks as a we came out of the financial crisis.  So I think we are well positioned probably better lucky than smart the way the things and things have worked out, but we're in great shape at this stage looking out through 2020. Thanks 
Peter Grosskopf: Thanks Whitney. Turning now to Slide 9 for a look at our private strategies. The conversion of our balance sheet investments to LP earnings is now almost complete. This transition has decreased the income we earn from our balance sheet while we generated substantial income and value for our shareholders during the gold downturn and we'll miss the income. The move does reduce our risk profile to replace the income as we build scale in our lending LPs. We are now generating significant management fees with performance fee upside.  In 2019 our lending management fee income contract due to some early loan repayments, but with the bonuses from those repayments, we continued to deliver excellent investment returns for our LPs and also generated a strong return on our co-invested capital. We've recently started deploying our lending fund more aggressively. We continue to attract institutional commitments to our lending strategies with nearly 800 million U.S now raised for our second fund of this we've deployed 75 million and issued another 175 million in credit facilities our pipeline is also strong with more than 200 million and actively negotiated term sheets. I should underscore that it is precisely at times like this of significant market dislocations that having dry powder of over 1 billion available to our private strategies is of the most value. In Q4 2019, we launched a new direct project participation strategy that complements our existing lending business with an additional 200 million to 300 million of available undrawn capital.  Turning to slide 10 for some closing comments. We've now achieved critical mass and all of our core segments and are well positioned to drive continued growth and improving profitability. We're a global leader in a growing market niche and we built a high margin royalty like business model for participation in the resource sector. With a fully covered attractive dividend yield we believe we present an attractive opportunity for investors and we see our own shares as offering attractive value at these levels and we'll continue to step in to repurchase shares when we can.  I'd say in closing that this macro environment is ideal for our firm. This is exactly what we've positioned ourselves for years now. I think that with increasing accommodation required to sustain the current financial markets. Gold will be in an excellent position to serve as a store of value. And we look forward to a very interesting year ahead.  That concludes our remarks for today's call. Operator. 
Operator: [Operator Instructions]. And our first question is Nick Priebe with BMO Capital Markets. Your line is open. 
Nick Priebe : Good morning. I just want to start with the question on a Tocqueville. I think in your comments, you'd alluded some early redemptions just started to transition to positive net sales. Just a two part question. Can you just give a sense how meaningful those early redemptions were? And also could you just remind me, is the contingent component of the purchase price connected to AUM retention in that business?
Whitney George: This is Whitney. I would say that the redemptions were modest, and typical there is some dealers that we had where it didn't make sense for them to continue to support the products if there was sort of little interest there were redemptions everywhere last year in the industry despite the rising equity prices as I think people typically who got left with start in the sector got even and decided to move on to try something else that's normal. But I'd say in this kind of environment it would be hard to predict a lot of positive flows right away, but certainly I think the market had more than compensated for whatever redemption activity we had experienced prior to this week's activity. And yes our transaction is related directly linked to asset AUM and net revenue retention. 
Nick Priebe : And then just one other one for me. I'm just wondering, to give us a little bit of, I know the relatively modest number, but a, you had a strategy or two that generated, carried interest in the equity assistance? Can you give us a bit of insight on which strategy generated it to carry there?
Kevin Hibbert: I think you might be referring to the -- we have carried interest and performance fees on one line. So that's related to one of our managed equities strategies this year. I don't know, Whitney, if you want to provide some color on the JV?
Whitney George: Sure, we launched a joint venture partnership with John Hathaway a year ago, not knowing that we would ultimately be able to marry the two organizations together, but shared a common vision about M&A activity within the sector. And it's a small product is a partnership, it does carry with it performance fees, and it performed very, very well last year, it's a very concentrated portfolio, but Detour Gold was the largest holding. So not only did the thesis play out for us or start to play out, we think it's sort of like a longer term phenomenon here. But it performed well, which was a happy thing for our early investors, which include myself and, and Sprott as seed capital and John Hathaway. And we are hopeful with that kind of start that that product will grow. 
Operator: And our next question comes from Gary Ho with Desjardins. Your line is open. 
Gary Ho: Maybe just a little bit clarity just on the new royalty and streaming strategy. Can you remind me where you are with this? I think you mentioned 200 million to 300 million undrawn capital on the strategy and an outlook for capital deployment here? 
Peter Grosskopf: All right. The capital is available and so we're looking for deals. I think that deal sources are going to be three folds. First of all, it can operate as a sidecar to our lending strategy for project type loans and can obviously stay in the mine with an interest for a much longer period of time. And secondly royalties and streams I think are trading much more actively now in the secondary market and are available in smaller pieces and more like on club deals. So we'll be out there for our own account looking at attractive cash flow, direct mind participation opportunities. And then thirdly occasionally through our vast network of contacts particularly amongst the small-cap companies, we come up with unique opportunities for these types of interests.  So we're just seeding it and operating it and looking to do a few deals before we get into any sort of serious capital raising mode. We'll see how it goes with this type of a market dislocation, you never know, but that could prove to be a real winner because companies will be some of them desperate for capital. 
Gary Ho: Got it. Okay. And then -- sorry, I came onto the call a bit late. I apologize if this is addressed. Just wondering if you can comment on the capital deployment in the lending fund this quarter's quite strong, would that relate it to and maybe just link it to the outlook for fiscal 20, I think you guys are now talking about U.S 100 million to 200 million in net capital deployment? 
Peter Grosskopf: Yeah, it's always hard to tell because it ebbs and flows. And last year we had a tale of two cities. We had these early loan repayments, which great from a return perspective but not good from an AUM perspective and make it look like our business is shrinking for awhile. But it does ebb and flow and the best way I could describe it is we're looking to deploy 400 million to 500 million per year. And the draw downs on that 400 million to 500 million per year are very lumpy. So for instance, we've done 250 million facilities, we've only been drawn on 75. Next month we could be drawn on another one 75. So it's very difficult to tell that timing because companies access the capital A when they need it. And B, when they meet the conditions precedent. So I would say for the balance of this year, we've done the 250 million of deals. I would expect them all to be funded and I would expect another couple of hundred million of deals to be done and the question then becomes how quickly do they find and we just don't know. But again, the what makes the biggest difference on that deployment is what's the state of the markets. And I think with what's happening out there today, it goes well for deployment. 
Gary Ho: Got it. And then maybe just a numbers question and I didn't notice on the management fee breakdown page that the management fee on the lending fund came down from 125 basis points to 100 basis points. Like what caused that ?
Kevin Hibbert: The first part, are you talking about management fees in the lending segment or are you talking overall? I missed that. 
Gary Ho: When I look at the lending Sprott private resource lending LP, it was 125 basis points last quarter and went to 100 basis points this quarter. I'm just wondering what drove that? 
Kevin Hibbert: Yeah, it's put simply, it's the fact that a large portion of the AUM deployment that happened this quarter was a committed capital it's earning a commitment fee. If you recall, we've mentioned in the past that, we had two tranches of AUM deployments in the lending space in terms of commitments. A portion of them would not earn a feed. So for example, the commitments in some of our earlier stage, lending funds did not attract a commitment fee. But then in the subsequent ones that we've launched, obviously with the great history, we've seen early history, we've seen in the lending funds, we're now able to command a commitment fee. So if you look at the AUM detail there's a little footnote that talks about the decomposition of the AUM between actively managed versus committed and undeployed. And so as that committed undeployed number gets bigger, that means there's more commitment fees as opposed to full freight management fees in the mix, thereby bringing down the average.
Gary Ho: Got it. Okay. And then lastly, Kevin, we'll also have you, are you able to give us some sensitivity now that you guys have closed Tocqueville acquisition? Just kind that earnings sensitivity to the precious metal prices, given I guess you were constructive outlook looking out. 
Kevin Hibbert: Yeah, sure. So the same spiel I gave you guys every quarter we don't provide forward looking guidance, but in very general terms if you look at the business that is the most perhaps directly correlated to gold prices, that would be our exchange listed products business, which is separate from managed equities, which houses the acquired Tocqueville assets. And in that exchange listed business, generally speaking for every $100 change in the average price of gold on an annualized basis you should expect to see at least $2 million of additional EBITDA hitting that bottom line. So and that would be at a minimum, I think at Sprott, the large majority of our torque to gold prices is indirect through a variety of inflows, whether it be ATM creations, secondary offerings, ETF unit creations, inflows on the actively managed strategies and obviously transaction volumes that we see coming from our brokerage businesses, which picked up in the latter half of 2019. So all those drivers, which we cannot predict would by far has the most impact on our earnings, but the direct numbers would be in exchange listed and at the level I just mentioned. 
Gary Ho: Okay. Sorry, there was one more I want to follow-up. Just, Kevin, so on the change in reporting to U.S dollar. Are there anywhere I can find of restated pre prior quarters or annual numbers that you guys are thinking of putting up? 
Kevin Hibbert: So you're asking if you chopped up. If there are historical numbers are already in USD in our...  No there aren't. But when we file the Q1s, what we will be doing is restating the numbers in the eight quarter roll at least for you and what might help you guys as well as the fact that we're using the presentation currency approach as opposed to fundamentally changing our functional currency. So anything beyond the eight quarter roll, what you could perhaps simply do is maybe apply, just an average FX rate to be individual line items and get there quicker. 
Operator: And our next question comes from Geoff Kwan with RBC Capital Markets. 
Geoff Kwan : Just want to follow-up on the change the U.S dollars at a high level. I guess it's, most of your products would be kind of geared to some sort of U.S dollar currency pricing so that probably tries it from the revenue perspective. And you've got operations in the U.S are stuff there, but a lot of expenses would be coding dollars. So that's where you get a lot of the translation. Is that the way to think about just in terms of just being full functionality around what your various income statement items are in where the actual currencies underlie in each of those line items?
Kevin Hibbert: Yeah, I think you pretty much got it. I would say generally speaking, where we're probably well over 90 some odd percent of our AUM, revenues and cash flows denominated in the USD. On the expense side with the recent acquisitions inclusive of Tocqueville I'd probably say that our expenses, our cash expenses are creeping up to a pretty significant degree in terms of U.S dollars versus Canadian as well. So the, the net FX exposure, you are right, Geoff historically has come from the cat expenses, but those cat expenses are decreasing. One thing I would, one technical thing I'd caution you on when you're doing your numbers is again we're moving to presentation currency. I won't bore anyone on the call on what that means at a granular level, but you, you may want to give me a call on the side just to give you some more details on the, what it means for the FX expense and gains you're going to see. Because under presentation currency that gain loss number it's essentially becomes meaningless statistic. So you got be careful with how you interpret it in a USD reporting world. 
Geoff Kwan : Okay. And then clarification on Slide 7 around the 2020 numbers on the new units and the AUM for the physical trust. Is that still in the Canadian dollars because that's technically what you're on right now or is that under the new U.S dollar reporting? 
Kevin Hibbert: Right. Yeah, those numbers are still in Canadian dollars. 
Geoff Kwan : Okay. And just last question I had was, from a product offering standpoint, is there anything new that you're working on the pipeline or areas that you like to branch out but you're not right now? 
Kevin Hibbert: Well, we're always thinking about a product line extensions that fit in our framework. And that framework really is about coming up with something that's differentiated and meeting a market need. And maybe not being met or under met and clearly there's an element of timing in terms of whether we think we want to put our clients in a certain product and as well as their own capital. So it's a complex formula. We're always thinking about new products. I think right now what we're trying to do is focus a lot of our energy on the existing private suite because it is very well positioned to capitalize on the market environment raise capital. Secondly, we're very focused on the Tocqueville Gold Fund, which is now called the Sprott gold equity fund and making sure we lock down those clients and assets. And so right now we're really trying to focus on the existing product suite. 
Operator: And our next question comes from Rasib Bhanji with TD Securities. Your line is open. 
Rasib Bhanji : Firstly, just on the performance fee site, it came in at a heavy 2.4 million this year. Just wondering if it was any one specific funds or if it was diversified across funds? And just as a follow-up to that question, there was a mention of your conversion from balance sheet investments to LP investments that would have some upside to performances that was wondering if you can give any indication of the impact that would have on it? 
Kevin Hibbert: I'll take the first question, Kevin here. So yeah, that question was raised previously the performance fee that you see there is from largely one fund strategy, which was the Hathaway joint venture.
Rasib Bhanji : Okay, thanks. 
Kevin Hibbert: And can you just quickly repeat the second question for us? 
Rasib Bhanji : Yeah. So in your prepared comments, you mentioned the conversion of balance sheet investments to more of the LP structure. There might be some fee or paid on the performance fee. So just wondering if you could quantify the impact on that for us? 
Kevin Hibbert: So yeah, you're probably referring to Peter's earlier comments. So again, we don't provide forward looking info, but generally speaking, if what we were simply saying is moving from the balance sheet to a fund strategy means that now we have the ability to generate carried interest right before we were direct lending to the borrowers, which would largely generate interest income for us. Now that we have a PE style funds strategy where we're lending in we've negotiated with those clients, the ability to take carry. So that's all there was to that. 
Rasib Bhanji : Okay. Makes sense. Thank you. Second question was just on the compensation expenses. So I understand you're doing this specific forward looking guidance, but I was wondering the expense level -- the compensation level you're at right now would this be a fair run rate? And then we tack on some expenses for the Tocqueville acquisition? Or like how should we be thinking about this? 
Kevin Hibbert: So I wouldn't tack on anything for Tocqueville, but I'd probably say on the expense side, it kind of goes back to what I've been talking about for the last maybe four years now with our longterm incentive program that under the accounting rules is done on a sort of a declining balance basis. So the LTIP you see will probably stay flat to declining a little bit, but then on the salaries and incentive line our company is significantly leveraged to company performance. So whatever you had in your models in terms of how you think the company will do, will reflect likely in our compensation numbers as well. 
Rasib Bhanji : Okay. That makes sense. And my last question was just on the capital deployment on your lending strategies. The 2020 guidance range of between a 100 million to 200 million U.S to that's in net inflows. I was wondering on a growth commitment -- gross deployment basis, would it still be in the $400 million to $500 million range? 
Kevin Hibbert: Yeah I'm more comfortable going with just the net number there's a mixed bag of movements to Peter's point, I'm not sure if you were on the call at the time Peter was talking about it, but it is extremely difficult to forecast out what the capital calls would be relative to distributions and in particular exactly when they're going to happen. I think net-net, we're comfortable with the net number that you see there between 100 and 200. So you probably want to just work with that. And then along with all the other details we put in the 2020 outlook, that should pretty much give you an accurate sense of where, where we'll likely be in the lending space this year. 
Rasib Bhanji : Go ahead. Thank you. That's it for me. 
Operator: Thank you. And I'm showing no further questions at this time. I'd like to turn the call back to Peter Grosskopf for any closing remarks.
Peter Grosskopf : Thanks everyone for your time this morning and we look forward to keeping up with you during the course of the year. Have a good day. Good weekend. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect. Everyone have a great day.